Operator: Good day. And thank you for standing by. Welcome to the Cipher Mining Third Quarter 2021 Business Update Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Lori Barker from the Blueshirt Group. Please go ahead.
Lori Barker: Good morning, ladies and gentlemen. Thank you for joining us on this conference call to discuss Cipher Mining’s third quarter 2021 business update. Joining me on the call today is Tyler Page, Chief Executive Officer; and Ed Farrell, Chief Financial Officer. You may also review our press release and presentation, which can be found on the Investor Relations section of the website at investors.ciphermining.com. Please note that this call will be simultaneously webcast on the Investor Relations section of the Company’s corporate website. The conference call is the property of Cipher Mining, any taping or other reproduction is expressly prohibited without prior consent. Before we start, I would like to remind you that the following discussion as well as our press releases and presentation contain forward-looking statements including but not limited to Cipher’s financial outlook, business plans and objectives and other future events and developments including statements about the market potential of our business operations, potential competition and our goals and strategies. These forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from those discussed here. Additional information that could cause actual results to differ from forward-looking statements can be found in Cipher’s periodic and other SEC filings. The forward-looking statements and risk in this conference calls, including responses to your questions are based on current expectations as of today and Cipher assumes no obligation to update or revise them, whether as a result of new developments or otherwise, except as required by law. Now, I will turn the call over to Tyler. Tyler?
Tyler Page: Thank you, Lori. Hello. This is Tyler Page, the CEO of Cipher Mining, and I’m going to discuss our third quarter today. So, I’m going to begin our discussion by reminding everyone that Cipher Mining is a U.S.-based industrial scale Bitcoin mining company. We recently completed listing on NASDAQ with the ticker CIFR. And in our transaction to go public and close our PIPE deal, we raised net proceeds of $391 million. We are currently executing a strategy to develop and deploy five data centers where Bitcoin production is expected to ramp up significantly throughout the course of 2022. When we think about Cipher compared to the competitive landscape, we have a series of long-term competitive advantages, namely our five-year power purchase agreements which have a compelling weighted average power price of 2.72 cents per kWh. We also have purchase agreements that we have executed for mining rigs that are capable of generating up to 19.5 Exahash per second. Those machines are scheduled to be delivered over the course of 2022. And we have a long-term agreement with the experienced team at bit Bitfury for operational services and equipment. And so, when you think about us versus the competition, focusing on the key needs of any successful large scale miner, we feel we are particularly strong in terms of our access to power at a cheap price, our access to new equipment with the delivery scheduled for next year, and then our access to a best-in-class operations and services team. Before we get started, it’s helpful just to reset everyone’s aware Cipher Mining is in the context of what has been a very busy year for Bitcoin. Just recall that Bitcoin came into the year -- at the beginning of the year, around $30,000. There was a fair amount of enthusiasm early in the year and it was up over 100%, had an early year peak around the coin base IPO back in April where it was up over 100% in the mid 60,000s. Over the summer, we saw some doldrums in the price. Particularly newsworthy story for us was that China shut down most of its mining capacity over the summer, wonderful for us considering that we came to market as a U.S.-based Bitcoin miner, and we have always preached a focus on U.S. becoming -- the United States becoming the real head of Bitcoin hashrate in the world. Recently, Bitcoin price has peaked back up. We’ve had a series of interesting events in the marketplace, including a futures based ETF. And in fact, we just, this week, have made all-time highs in Bitcoin. And so, a lot has happened in the short year. When you think about Cipher Mining, a lot has happened for us as well. So, Cipher is a newer company. We were created in January of 2021. And we were created as a spinoff of an opportunity set from Bitfury, a European-based privately held Bitcoin Mining Company. And we were spun off to focus on us Bitcoin Mining operations. And we went public via a SPAC. We have gone through the entire SPAC timeline. We merged with a company called Good Works Acquisition Company, earlier in the year. That business combination was approved in late August. And we began trading on NASDAQ on August 30th as our standalone public company under the ticker CIFR. It’s important to remember that a lot has happened this year for Bitcoin and us, and we are coming to market as a greenfield company. The concept behind Cipher Mining was that we had an outstanding opportunity set to capitalize on building data centers in the United States and to build a U.S.-based Bitcoin Mining champion. And we have always planned to take our transaction proceeds from the closing and then implement that plan. So, we’ve had a very busy start to our lives, we completed our first quarter at the end of September and between going public and now, from a materiality standpoint, we have entered pre-material contracts for equipment purchases, from a diversified group of mining rig suppliers, namely Bitmain, MicroBT and Bitfury. As we look forward to flex our long-term advantages, we now are a publicly listed company and we will have access to capital on an ongoing basis, which is an important thing, as you’re building a large-scale Bitcoin miner. From an operational standpoint, to be a very successful large-scale miner, you do need access to power. We have that with up to 910 megawatts with our current counterparties. And those are the five-year-plus contracts. They are long-term, not short-term. We also have a very robust pipeline of future deals that we’re in discussions with. The energy industry in particular in the United States has seemingly become more interested in Bitcoin mining. We are having discussions with major power producers that want to have a Bitcoin strategy. I would note that one of our current counterparties on the power side, we’ve actually structured our relationship as a JV. And so, in that joint venture, we are working together with the power provider to build a Bitcoin mining operation. I think that the scalability of that structure is something that could be very strong for us as we continue to talk to other potential partners that want to have a turnkey solution for accessing Bitcoin mining. On the equipment side, as I mentioned, we do have our diversified suppliers. I would note in particular that we have a seven-year framework agreement in place with Bitfury in particular that grant us a right of first refusal on new machines, as well as the most favored nation pricing framework to purchase those machines. And so, we have a long-term advantage on equipment as well. Lastly, for operational expertise, which is sort of the last ingredient to being a successful Bitcoin miner, you’ve got your capital, you secured your power, you secured new equipment, now you need to make sure that you can get everything up and running, as thoroughly as possible and with maximum uptime. We will be leveraging the very experienced team at Bitfury for operational services. We do have an agreement with them. Bitfury has been in the space for over a decade running Bitcoin mining operations. Next, I want to talk a little bit about our approach to thinking about environmental issues, as a large scale Bitcoin miner. I’d like to highlight our key points, when it comes to evaluating the site from an environmental perspective. First of all, Cipher has no direct purchase agreements with coal power generation facilities. Coal-based electricity does have a particularly large amount of carbon emissions, and you can see in our materials that it generates a higher than -- a higher amount of carbon emission than the average U.S. electricity generation. At Cipher in addition to not working directly with coal providers, we have a preference for renewable sources of power or nuclear. In fact, our first site that we planned to have online is a wind farm. It’s a 100% wind generated power that is off the grid. One of our facilities that we plan to come online shortly thereafter is a nuclear power facility that does not have emissions. And so, we are getting off to a good start. When you look at our average -- the weighted site portfolio of our initial deployment set, you can see that we intend to have about half the total carbon emissions of the average user of U.S. electricity. So, we’re starting off already on the right foot. We are well-ahead of what is typical in the marketplace. But moving forward, we want to make sure as we deploy our centers, we measure and report our emissions. And then, we’re going to target carbon neutrality in our mining operations by 2023. We are currently evaluating different providers of carbon offsets. And as we deploy and measure our emissions, we will be putting in place an offset plan for the emissions that we do have. So, with that opening overview of Cipher and sort of where we are philosophically, let me get into our implementation plan and strategy. So, first of all, let’s talk about site readiness. I mentioned that, we are currently in process at five sites we are deploying. Usually three phases to site readiness, in the way we think about it. The first phase is power readiness. And what I mean by power readiness is you can think of everything that is required for us to have a mid-voltage connection point to draw power from other site. And so, that is both, contractual relationships with the power provider and the necessary land, but also, electrical infrastructure that would be needed, step-down transformers and substations, et cetera. So, that’s Phase 1. Phase 2 then is what I’ll call infrastructure readiness, and you can think of that as everything that is required to take the power down from a mid-voltage connection point to the outlet, the literally like the plug for a Bitcoin mining rig. And so, that consists of a series of transformers, switch gears, cables, a fair amount of site engineering, a container to hold the mining rig as really the last piece. And so, we are building containerized data centers. These are facilities that have many repurposed shipping containers on-site that are full of technology and built to be extremely stable, robust and create a lot of value when you set up your data center. The last step then to bring in a site to readiness is getting your mining rigs. And so, I’ll call it mining rig readiness. You’ve got your power, you’ve got a place to put the mining rig, and then the mining rigs are on-site. And so, when we look at our deployment going forward from a power and infrastructure readiness perspective, looking forward, we project that we will have a total megawatt build out of 60 megawatts across our initial first three sites, Alborz, Bear and Chief in the first quarter of 2022. Now, Alborz, Bear and Chief are sites that are subject to our joint venture. And that joint venture is one in which Cipher owns 49% of the economics. So, you can think of 29% of those megawatts as belonging to Cipher. In quarter two, we will add on Coshocton from a power and infrastructure readiness perspective. Coshocton is a nuclear -- is power facility in Ohio. That is a 40 megawatt facility that we will own the economics 100% of. And so, you can see the corresponding numbers in our deck. But, that will bring our total deployment to 100 megawatts by the end of Q2 2022 and Cipher share of that to 69 megawatts. And then, we really ramp midyear going into quarter three when we bring our Odessa safe online from a power and infrastructure readiness perspective, and also our Phase 2 expansions at both Bear and Chief. And you can see that the total megawatts we plan to have from a power and infrastructure readiness perspective ready by the end of the third quarter of 2022 will be 379 megawatts with 311 belonging directly to Cipher. I will caution that this is our forecast now and it’s our best guess, we do live in a world of supply chain challenges and COVID pandemic that’s not completely over. And so, this is our best insight looking forward. But of course, things can change. So, that leads me to mining rig readiness, which is the last stage. And before we get there, I want you to understand tangibly what we’re talking about with power and infrastructure. So, there are a series of pictures in the material that will be posted with this release. But firstly, we have to construct the containers. We’ve got dozens of contractors working on a lot of containers right now. These are repurposed shipping containers that have quite a bit of technology in them. If you click through the pictures in our deck, you will see in addition to just some heavy engineering, sort of cutting open and building hinges and putting in walls for servers, et cetera, you do have a fair amount of cables, network switches, temperature gauges, Control Panel et cetera that go in to these proprietary boxes that are Bitfury design that we have purchased. Once those boxes are ready, we will truck them out to our sites and put them in place. And so, again, looking at our deck we do have pictures of our first site that will be ready at Alborz, which again, is a 100% wind power generated facility. You can see wind turbines, as far as the eye can see. Looking at the site itself, there is a mid-construction picture we’ve got in there that shows some of the trenching for the cables; the transformers being laid out across the lot, as well as the foundational supports for the boxes that are coming out. And so, those are live pictures from Alborz. And in short order, when this is finished, you will have a facility that looks somewhat like the facility on page 13 of our materials. This is a live containerized data center that has been set up by Bitfury. In a slightly cooler climate, obviously, but that’s what it is trending towards, and what it is going to look like as we have power and infrastructure readiness available at the sites. And that leads us now with mining rig readiness. So talking about mining rig readiness and delivery, we have to make a lot of strategic decisions about what to pay for mining rigs. There’s really a spectrum, you can buy mining rigs for near-term delivery for a large premium, or you can try to buy mining rigs in large-scale over time, if you can secure them at potentially more favorable prices. We have tended to, based on what we have seen in the marketplace, as far as prices for near-term delivery, we have focused very much on maintaining a price discipline based on not overpaying for hashrate. And so, we analyze things on dollars per terahash framework. If you look across what we -- our anticipated weighted average cost for our mining rigs, we are paying $38.58 per terahash. We think that’s very compelling. That’s across our portfolio of three providers Bitmain, MicroBT and Bitfury. And the goal with maintaining that price discipline is to make sure that we’re being disciplined around our return on investment. We don’t want to overpay for hashrate. This is a cyclical business. We want to make sure that just like we maintain discipline and what we will pay for power at a site, we want to maintain discipline on what we pay for hashrate. And what really happens when you combine those things is that you end up in a situation where we can then rely on our long-term advantages. Again, we don’t want to rush and overpay. So, if you look at page 14 of our materials, you can see a monthly delivery schedule for our three machine contracts aggregated in one place. I would note that this is what is in the three contracts as the delivery schedule. Again, I would highlight the risks of the world we live in that there are supply chain issues that we may not be able to forecast, pandemic, many things can happen. But, this is what we have entered into contract for. And so, we are reporting the anticipated deliveries month by month. I will highlight that the Bitfury contract in particular has flexibility. It has a minimum purchase amount, as well as a maximum purchase amount. We’ve got them both illustrated on the slide. And when we report number of -- how many machines we’re buying, and I know some of the mining companies out there like to point to the number of machines they purchase, we prefer to talk about the total hashrate generated by the machines that we’ve ordered. And that’s because some of our machines are just, frankly, they’re nearly -- they have nearly twice as much hashrate per machine, the Bitfury ones in particular. And so, if you can see this scale by hashrates, you’ll see at the bottom of page 14, across the bottom of the screen, you can see boxes for month-by-month, the total hashrate represented by these monthly deliveries, as well as the Cipher Mining portion of the hashrate represented by these deliveries. As I mentioned, we are ordering machines, some of which will be going into a JV, which we own 49% of. And then, you can see projected out, as we scale later in the year and some of our large orders, particularly MicroBT and the Bitfury orders come, their deliveries begin to arrive. You can see both, the minimum amount of hashrate that we have contracted to purchase as well as the maximum amount across the top. And you can see, if you go out to December, we show that -- assuming the maximum Bitfury machine order, we would have ordered 17.3 exahash of machines that would belong to Cipher Mining and 19.5 exahash of machines overall. I want to finish by just reiterating some key statistics for everyone as we build out that they should keep in mind. So, specifically, I want to reiterate that the pricing discipline we have shown has manifested itself in a $38.58 average price per terahash across the Cipher portfolio. We have purchased machines with an average -- weighted average mining rig efficiency of 33.2 joules per terahash. We have a weighted average power price of 2.72 cents per kWh. And lastly, we have an anticipated infrastructure CapEx cost per megawatt across the portfolio of what is anticipated to be about $450,000. I would note again, like many things, inflation does impact a lot of our work streams and a lot of what we are putting together. And this number could move around. It has moved around since earlier in the year, but that is our best forward-looking estimate that we wanted to arm potential investors and analysts with, at this point in time, subject to the idea that it can move around. So with that, I will end my remarks. And I will pass to Ed Farrell, our CFO.
Ed Farrell: Thank you, Tyler, and hello to everyone on the call. First, let me remind everyone that we closed the transaction in late August. And as Tyler mentioned earlier, we received net proceeds of $391 million, and immediately commenced our deployment plan to build the data centers to support our Bitcoin mining activity. We are a greenfield company that on September 30th was in operation for about 30 days, and as such, our financials are relatively benign. [Ph] That said, I’d like to walk you through some of the more significant items on our balance sheet that are critical in supporting our plan. Within days of closing and receiving the proceeds from the transaction, we entered into agreements to purchase in total 87,000 latest gen mining machines from both, Bitmain and MicroBT. As a result, we had $74 million in deposits on the balance sheet relating to those agreements and expect delivery in batches from January 2022 through December 2022. We committed capital to support obligations that are required to being a public company. In addition, we have security and collateral deposits of $9.4 million relating to purchase power agreements with one of our energy providers relating to the build out of our data centers. Finally, we had $282 million in cash at the end of the quarter. I think it is important to mention that subsequent to September 30th, we entered into an agreement with Bitfury to purchase 28,000 to 56,000 next gen mining machines with delivery commencing in June 2022 through December 2022. The deposit for this order was $10 million. In conclusion, I would state that Cipher, greenfields Bitcoin mining company, is well on its way to becoming an industrial scale Bitcoin mining company dedicated to expanding and strengthening the Bitcoin network’s critical infrastructure in the United States. I’ll stop there, and Tyler and I are happy to take your questions.
Operator: Thank you. [Operator Instructions] And we have a question from Aaron Rakers with Wells Fargo. Your line is open.
Aaron Rakers: Congrats on the first earnings call, hopefully on the path many more. I guess, I first want to kind of ask about the progression of the miner deployments. What are you seeing today in terms of the progression towards the delivery, given obviously, a broad amount of industry supply constraints? And then, I guess, following on that, if I look at the progression of your planned terahash capacity -- exahash capacity by the end of 2022, can you help us understand the importance of the Bitfury systems as they come into the model? What’s the capacity of those systems relative to the MicroBT, and the Bitmain systems? Just trying to understand how you can leverage that that Bitfury relationship strategically?
Tyler Page: Sure. Yes. Thanks, Aaron. When it comes to mining rigs, I think when we start with the beginning of your question, sort of thinking about supply chain reliability, it seems like you were alluding to, and I think this is a big reason why we are working with multiple different suppliers, right? I think, we have suppliers from different parts of the world, using different foundries, and with both proven and tested machines and newer machines. And so, managing the risks around thinking about deployment with mining rigs, our best approach is to take a diversified approach. And so, that’s kind of the background I think of what you were getting out at the beginning of your question, thinking about sort of supply and reliability and thinking about it. Now, from a deployment perspective, as you get the sense from our presentation, we’re lining up a lot of different work streams, right? So, we’ve got five different sites in different phases of construction and preparation. We have a plan to line up the machine deliveries at the different sites that are in line with the schedule. Of course, there is some flexibility in this. So, just thinking about when the machines arrive, obviously, the Bitfury component of our order is big. I mean, you can see it if you look at page 14 of our materials, sort of a bar chart, you can see that it represents something between roughly a third to half of the power that we’ve ordered, right? And so, it is important to our plants. We’re excited. I think the biggest thing about that relationship, obviously, we do have a special relationship with Bitfury. It has helped us to get a price in terms of machines, I think we’ve got decent prices across all of our contracts. But obviously, we have sort of a special pricing framework there. And that has helped strengthen the overall look of the rig fleet.
Aaron Rakers: And the capacity, the terahash capacity of those systems relative to -- I think, the other ones were probably in that call it 100, 110 terahash per second capacity rate?
Tyler Page: Yes. So, in the -- and this is -- and the contracts of machines from Bitfury are about 195 terahash per second estimated. And as is typical with those machines, there’s typically like a plus-minus 5% for particular machines, I think that’s consistent with all the providers. That is the estimate. I would say that also those machines are physically different, so they draw more power as well. So, from an efficiency standpoint and as physical standpoint, we like to break things down to the per terahash level. And that’s how sort of we stress. When you think about machines, sure, if you’re buying just MicroBT and Bitmain, kind of top of the line machines, it’s pretty easy. They’re all about 100 terahash. We’ve got this blend, and that’s why we take it down to the sort of per terahash level, when you think about rig efficiency and costs.
Aaron Rakers: And what dictates 28,000 versus 56,000? What’s the -- I would assume your focus is on building out as quickly as you can. What’s the determinant that brings you to the low end versus the high end of that range?
Tyler Page: Sure. So, looking out kind of far into the future beyond what we’ve talked about in the materials here, we continue to have sites that we anticipate bringing online, but they may not be in a place where we’re ready to report that power and infrastructure readiness estimated date yet. And so, what I’d say is we have a pretty robust pipeline, both with our current providers looking at potential sites for later in 2022, but also a lot of the discussions we’ve been having. And we alluded to this earlier, but we do see at least green shoots in the U.S. energy industry where a lot of the very large power producers in the United States are now taking a Bitcoin Mining strategy very seriously. So, we’re having lots of interesting discussions at large-scale. And the idea with the flexibility and that contract is to potentially take advantage of those opportunities, if they come available.
Operator: [Operator Instructions] And we have a question from Kevin Dede with HCW. Your line is open.
Kevin Dede: Could you just give us a little bit more on your supply reliability? Are you intending to fly your Bitmain and your MicroBT machines in?
Tyler Page: We are. We are anticipating airfreight on all our machines. And we regularly check in with our suppliers to sort of re-underwrite the delivery schedule that they have represented, and that we’ve aggregated in this presentation. So, I am well aware of some of the recent delivery challenges that I’ve seen at some of our competitors and some of the creative ways, they’ve solved that. I’d say, like many parts of the supply chain that we’re managing, taking this diversification of suppliers approach and maintaining a constant contact with them is our best risk mitigant. And of course, if we get to the point where we need to be creative about getting the machines here, we will be. But at this point, we will be doing air freight, and hopefully that keeps everything as we anticipate.
Kevin Dede: And the big question is, you always get this one from me, is just the progress you’ve seen in Bitfury’s machine design. I guess, this is -- your press earlier gave us some aspect and you alluded to 195 terahash guided. I think I saw 6.8 kilowatts. I’m wondering if you think they will be UL rated, and then what adjustments you’ll have to make on your infrastructure in order to accommodate, either something drawing 3.2 versus something drawing 6.8, and the accommodations that you’ll need for your switchgear at the miner point? And I’m sure that you’ve thought through this with your team, just kind of how want to make sure how you see it.
Tyler Page: Yes, absolutely. I mean, I think - I’d say, we’re an ambitious -- in addition to being a new company from a public listing perspective, we’re an ambitious one. And so, our ops team and the folks we have under contract with Bitfury from an operations perspective have to manage that as part of their work stream, sort of what tweaks need to happen at each site, depending on which miners were deploying at a particular site. So the good news is, historically Bitfury machines -- obviously the Bitfury deployment team and their containers, they have a very strong understanding of the engineering necessary to accommodate their machines. And the other piece, I highlighted that those same operations teams at Bitfury have deployed machines from Bitmain and MicroBT. And so, to answer your question, yes, I mean, it’s customized and it’s all part of the work streams at the different places that the boxes are slightly different. From the outside, they are the same, but when you talk about cutting the server wall, analyzing everything, like heat generated and cord lengths for hundreds of machines, et cetera, as well as dialing in the power, that’s all part of the engineering process. But again, we are working with an experienced team that has specific direct experience with that challenge. So, we don’t anticipate any issues.
Kevin Dede: Fair enough. And then, a little deeper just on their progress, Tyler. As best you can relay, I mean, I know -- I think the last time we spoke, you felt that they had the chip design set. But, I know people are having a tough time getting wafer starts. I’m wondering what you might be able to share on their fab and the progress that you see them making there.
Tyler Page: Sure. So I guess, let me start by saying that though they are -- Bitfury is our largest shareholder and near and dear to our hearts, I don’t have the kind of insider picture on everything that’s going on, on their design and manufacturing anymore. But, what I would say is, we are at the point where we have that purchase contract with them. And so, their chip, they have relayed to me, has completed the important pieces of the tape-out process, and that they continue to work with their fab to meet the timeline they’ve got, which in their contract anticipates June delivery of machines. And that is what’s listed, and then we break it out in our materials that it’s anticipated to be a June to December of next year delivery schedule.
Kevin Dede: Do you have sort of any recourse? I mean, granted it’s -- I guess I say, only a $10 million deposit. But I’m just sort of wondering if you get any sort of rebate or what else you might have worked into that contract that’ll work to your favor, and also -- and sent them to meet their schedule?
Tyler Page: Sure, I mean, I guess the easiest answer to this, which is, I suppose somewhat of an obvious one is that they are still our very large majority shareholders of Cipher and they are locked up in that shareholding. So, I think it’s fair to say that, probably, I don’t want to speak for them. But I would imagine, no one is more interested in delivering their machines, and hopefully convincing us to flex our order to the max, then this year. As far as recourse, I don’t -- off the top of my head what I’d tell you, the initial contract, but I would say we buy a variety of things from Bitfury. Obviously, we pay for services and so forth. So, I’m not too worried about recourse on our deposit on that machine order.
Kevin Dede: There’s nothing like skin in the game. Okay. Can you…
Tyler Page: Exactly.
Kevin Dede: Can you sort of peel back the onion a little bit on their op team? How does that work? Are they contracted by Cipher, or how you guys -- how’s that sort of come together?
Tyler Page: Yes. So, it’s a big team, if you go all the way to the subcontractor level. So, we have a contract for services with Bitfury and it has a framework for pricing that is generally a cost plus framework. And so, it is very favorable. The team at Bitfury is -- from a direct contact perspective on who’s overseeing the site work, there’s sort of a concentrated team, and then a much broader team. So, I’d say from a regular basis perspective, the concentrated team is about a half dozen people in charge. And then it goes to dozens of people across the organization that are touching this in one way or another. But, a lot of what Bitfury is doing site by site depending on the particular piece of work being done is that they are acting as like a general contractor and hiring subcontractors. And so when you get down to the subcontractor level, for example, the multiple teams that are at work fabricating containers for different sites, you’ve got dozens of people work at those contractors on our order and that’s across multiple contractors. So I guess, it’s hard for me to give you a total number of people touching every project in every way if I go down to the subcontractor level, but that’s because by design we’re working primarily with our general contractor who is Bitfury, and then they are conducting RFQ processes to hire different subcontractors throughout the process.
Kevin Dede: Fair enough. That’s a wonderful description. So, thank you, Tyler. Can we go to the part of the hierarchy, how are you managing Bitfury’s touch?
Tyler Page: From a construction and rollout perspective, our main point of contract from Cipher is our Chief Operating Officer, Patrick Kelly. When he’s not on the road, wearing a mask to the site, he is diligently working at odd hours, in cases where he’s got to speak to people that are spread across Europe. In addition to that, the team is ramping up. And we recently had an accepted offer for a Chief Construction Officer to work for Patrick, based here in the United States, who is extremely experienced in the data center construction and procurement areas. And so, that team, on a go forward basis, will primarily manage the general contractor and subcontractors.
Operator: Thank you. And there are no further questions in the queue. I’d like to turn the call back to Tyler Page for closing remarks.
Tyler Page: Okay. Thank you very much for everyone that dialed in. And I just wanted to close with a quick message to say that look, the team at Cipher Mining is near the beginning of a very ambitious journey and a rapidly evolving Bitcoin mining environment. We see all kinds of potential for this environment to expand over the long run. And we think we have positioned ourselves very well to take advantage of those trends that we see coming in the days, months and years to come. And so, every day is exciting for the management team. And we just want to thank all of our shareholders for their trust and support. So, thank you very much.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.